Operator: (Operator Instructions) Welcome to this Herman Miller Inc. First Quarter 2010 Earnings Results Conference Call. This presentation will include forward looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward looking statements. These risks and uncertainties include those risk factors discussed in the company's reports on Form 10-K and 10-Q and other reports filed with the Securities and Exchange Commission. Today's presentation will be hosted by Mr. Brian Walker, President and Chief Executive Officer and Mr. Greg Bylsma, Executive Vice President and Chief Financial Officer. Mr. Walker and Mr. Bylsma are joined by Mr. Jeff Stutz, Treasurer and Vice President of Investor Relations. Mr. Walker and Mr. Bylsma will open the call with a brief presentation which will be followed by your questions. We would like to begin the presentation with Mr. Walker.
Brian Walker: I wanted to start by introducing to you Jeff Stutz our new Treasurer and VP of Investor Relations. Jeff has been a member of the Herman Miller finance team for a number of years and we’re excited to have him with us today in his new role. On our call last quarter we ended by acknowledging that the tough economic climate we faced in fiscal 2009 will continue to challenge us into 2010. We also emphasized our view that we are on a long term journey and that we had made great strides in setting the stage for our future success including the announcement of several strategic initiatives. Business levels in the first quarter were substantially lower then last year, a direct reflection of the rough waters we anticipated coming into the period. Despite this our financial results for the quarter demonstrate the degree to which we have improved the efficiency and flexibility of our cost structure in the past year. These improvements enabled us to again deliver solid operating profits even after absorbing charges associated with restructuring actions and the debt retirement. Sales in the quarter decreased 32% from last year’s level while new orders adjusted for the pull forward impact of last year’s price increase declined 36%. Operating earnings in the quarter were $21 million or 6.5% of sales when you exclude the restructure and debt retirement expenses. Despite the magnitude of the sales and order declines the rate of decrease in order entry has leveled off over the past few months. This certainly doesn’t suggest we are in a recovery mode, it does signal a degree of stabilization in demand, a condition necessary before a market recovery can begin. All together we had a promising beginning to the fiscal year and in a few minutes Greg and Jeff will provide you with a more detailed review of the numbers. First though I’d like to share with you a few observations on the progress we’ve made on the priorities and investments announced last quarter. We completed the acquisition of Nemschoff near the end of June and immediately launched a process of integrating its products and processes into our existing healthcare business. One of the first steps in this effort was the announcement that our Brandrud manufacturing facility in Seattle will be closed and its operations transferred to the Nemschoff campus in Sheboygan, Wisconsin. This process will be completed later this fiscal year. Not surprisingly there’s tremendous excitement throughout the organization for what the addition of Nemschoff means to the advancement of our healthcare strategy. Beth Nichols and her team are moving aggressively forward in the integration process and have us off to a terrific start. In July we settled a debt tender offer which resolved the retirement of $75 million of our highest cost debt obligations. In doing so we met our objective of delivering our balance sheet and reducing ongoing interest costs. We also moved forward this quarter with our plan to consolidate our integrated metal technologies operation in Spring Lake, Michigan. As a reminder, we expect this move into existing space with other facilities will provide ongoing savings of between $5 and $7 million on an annual basis when full implemented later this year. Finally, we are proud to have once again have been named to the Dow Jones Sustainability World Index, an international stock portfolio that evaluates the performance of the world’s 2,500 largest companies using economic, environment, and social criteria. In fact, of the approximately 300 companies selected we were the only contract office furniture manufacturer to make the list. It’s the sixth consecutive year we’ve earned this recognition and it reflects our legacy of commitment to business practices that drive both solid financial performance and environmental advocacy. I’ll now turn the call over to Greg and Jeff to cover the quarterly results in more detail.
Greg Bylsma: Our first quarter results reflected what has been and still remain a challenging economic environment. That said we are encouraged by our start to the year despite a revenue decline of over 30% from a year ago. We succeeded in delivering profit from operations at the mid single digit percentage level, a goal we outlined for your at the start of this economic downturn. This was achieved in large part from the restructuring actions we’ve implemented in the last year, some of which as Brian pointed out, have not yet translated into operational cost savings. The first quarter sales were $324 million down 32% from the prior year and up slightly on a sequential quarter basis. Given the closing date of the Nemschoff acquisition we are able to consolidate nine weeks of their results which added $15 million to our top line in the period. North American sales in the quarter were $270 million which is down $126 million or 32% from Q1 last year. Declines were experienced across all components of our North American operation, though our healthcare business has continued to show the most resilience due to the downturn. Sales in Canada and Mexico decreased significantly due in part to a $3 million negative impact from exchange rate. Sales in our non-North American business regions reported even deeper year over year declines. Sales of $42 million in the quarter were down 40% from last year. We saw the steepest declines this quarter in continental Europe and the Middle East. Exchange rates from a year ago drove roughly $3 million of the decrease in sales this quarter. One bright spot in the period was a significant percentage increase in sales in India. While we are still talking about relatively small dollars we were encouraged to see our Indian sales double this quarter compared to last year, a positive sign that our efforts to structure a sales organization in that region are beginning to pay off. Orders in the first quarter were $322 million a decrease of 40% from the same period last year. As we outlined in our press release this year to year percentage drop was impacted by the timing of our general price increase which became effective in August of last year. In the first quarter of last year we received an estimated $35 million of orders that were pulled ahead by customers anticipating the price increase. When you adjust for this impact our year over year decline in orders was $178 million or 36%. Of this dollar increase we estimate $6 million was due to changes in exchange rates from a year ago. Despite the percentage decline from last year we are very encouraged by continued signs of stability and weekly order entry levels. This is showing itself in the form of a more normalized pattern of seasonal order trending which we began to experience back in the March to April timeframe last year. One other positive trend is our non-North American segment where orders rose 6% sequentially from the fourth quarter. Gross margin is next. Our gross margin percentage in the first quarter was 33.2% a decline from last year of only 70 basis points on $155 million decrease in volume. We continue to benefit this quarter from substantially lower commodity and fuel prices versus the prior year. We also realized significant savings in our labor and overhead spending relative to last year as a result of our restructuring efforts. These factors helped offset a large loss of leverage from the lower volume. Material prices decreased significantly from the prior year which drove an estimated $7 million reduction relative to last year. Fuel prices which reached record levels in Q1 of last year were also much improved. This helped drive a 40 basis point improvement in overall freight and distribution expenses in this quarter. Expenses were down across virtually every component of our manufacturing overhead structure. The largest reduction came in the area of employee wages and benefits, a direct result of the restructuring actions we’ve implemented. That said, our overhead expenses were higher then the prior year on a percentage basis due to the decline in revenue. On a sequential basis gross margin in the first quarter improved 70 basis points from the fourth quarter were we were at 32.5%. This was mainly due to a $2 million improvement in commodity costs. We also had incentive bonus expenses in the fourth quarter of last year whereas none were earned in the current period. Moving on to operating expenses and income. Operating expenses in the first quarter were $91 million compared to $106 million last year including current quarter expenses was a $4.5 million charge associated with the premium paid on the debt tender offer and approximately $4 million from the Nemschoff business unit. Last quarter we outlined for you’re the components of the Nemschoff purchase price. One of these components is called a contingent value right or a CVR. We recorded the CVR as a liability at the date of purchase and then adjusted its value at quarter end based on the market value of our stock. This adjustment resulted in a $1 million reduction to operating expenses in the quarter. However, as required under GAAP this favorable impact to net income was excluded from the determination of diluted EPS in the quarter. The reduction in operating expenses resulting from the CVR was more then offset by an increase in bad debt reserves in the quarter. When you net it all out adjusting for these items operating expenses decreased over 22% compared to last year. Restructuring expenses in the first quarter of almost $3 million related to severance and benefits associated with our consolidation projects. Operating earnings in the quarter were $14 million or 4.4% of sales, however when you exclude the non-recurring expenses our adjusted operating earnings were $21 million or 6.5% of sales. We had good news again this quarter in the area of income taxes. Our effective tax rate was -0.7%. The low rate resulted from the release of $3 million in income tax reserves due to the closure of IRS audits for the years 2005-2008. Going forward we expect to see more normalized effective rate bringing our full year rate to between 28% and 30%. Net income in the quarter was $8 million or $0.14 per share. Excluding the per share impact of the tender offer premium and the restructuring charges adjusted EPS in the quarter was $0.22. This does include a $0.05 per share benefit from the reversal of the tax reserves. That’s the income statement overview for the quarter. I’ll now turn the call over to Jeff to give us an update on the cash flow and our balance sheet.
Jeff Stutz: We ended the quarter with a cash and equivalent balance of $100 million down from $193 million at the end of May. As expected, outlays related to the Nemschoff acquisition and the debt pay down drove a significant reduction in our cash position during the period. As the team outlined last quarter the total purchase price associated with Nemschoff has multiple components. During the quarter we made a cash payment of $37 million which included a $12 million outlay to retire the net debt on Nemschoff’s balance sheet as of the transaction date. In July we incurred a cash outlay of $79.5 million in completing the debt tender offer. In completing this transaction we repurchased a portion of our highest cost debt obligations. The tendered notes carried an aggregate principal value of $75 million, bore annual interest at 7 1/8% and were due in March 2011. The final clearing price on the tender offer was 1.06 meaning that the notes were repurchased at roughly a 6% premium above their principal value. As Greg just mentioned this premium amounted to approximately $4.5 million, an amount below the maximum bid price outlined in the offer and well within the acceptable range of our financial model. Cash flow from operations in the quarter was $27 million. Changes in working capital primarily refunded income taxes and reductions in AR and pre-paid drove a $10 million source of funds in the period. By contrast working capital changes in the first quarter of last year resulted in a $44 million use of funds. This was principally due to the payment of prior year incentive bonuses which accounted for $38 million of the total cash use at that time. Capital expenditures were $6 million in the first quarter a 29% reduction from the $8 million spent last year in the same period. Dividend payments in the quarter were $1.2 million compared to roughly $5 million last year. The reduction was driven by our decision late last year to conserve cash by reducing the quarterly payout rate by 75%, a move that will save us approximately $14 million on an annualized basis. We are in compliance with all debt covenants and are currently running at a leverage ratio that is to save debt to EBITDA of approximately two times on gross net basis. We’re also in a strong liquidity position having just renegotiated our revolving credit facility last quarter. We currently have $139 million of unused capacity on the revolver with the only usage being from outstanding insurance related letters of credit. We believe this borrowing capacity provides us with sufficient flexibility going forward especially when it’s combined with the reduced debt levels. That’s the balance sheet overview for the quarter. I’ll now turn the call back to Greg who will share some thoughts on the outlook as we move through Q2.
Greg Bylsma: Consistent with recent quarters we aren’t providing specific forward looking sales and earnings guidance. However we thought it would be helpful to share with you some general thoughts on the trends we will be looking at as we move through the latter half of calendar 2009. Excluding the partial quarter impact of Nemschoff orders in Q1 averaged $24 million per week. The addition of Nemschoff increased this run rate to just over $25 million per week. We would typically see an increase in order rates between Q1 and Q2 and the primary reason for this increase has historically been seasonal buying pattern of the GSA which tends to increase as we approach their fiscal year end in September. In past years it has not been uncommon for us to see double digit increases in government orders between the first and second quarters thereby driving an increase in consolidated orders of between 3% and 6%. Orders from the GSA generally take longer to convert to sales then do dealer based order for commercial business. For this reason the sequential increase in order rates between Q1 and Q2 is often greater then that of sales. In other words, we typically build backlog during the second quarter which is subsequently worked down as government projects as completed and invoiced. On caveat here is the federal government orders are expected to track with our historical experience, however, our state and local entities have been more negatively impacted by the recession. This could have a dampening effect on the seasonal up tick in orders between Q1 and Q2. From a gross margin perspective we expect to see an increase pricing pressure going forward. We’re also continuing to keep a close eye on commodity pricing and view this as an outlook risk, though we don’t anticipate a significant negative impact in Q2. Assuming steady levels of production we expect to see gross margin at or slightly below our Q1 level in the near term. When you exclude the impact of the debt tender offer and the added expenses from Nemschoff we’ve done a good job holding the line on our core operating expenses over the past two quarters. We intend to continue this focus on expense management going forward. Our upcoming quarter will include a full 13 weeks of operating expenses from Nemschoff. Additionally we expect to see an increase in expenses associated with a program of incentive compensation tied to our decision last year to reduce employee based pay by 10%. As profitability improves, employees have an opportunity to earn back a portion of this reduction in the form of a quarterly bonus. With that I will now turn the call back to the operator and we’ll take your questions.
Operator: (Operator Instructions) Your first question comes from Todd Schwartzman – Sidoti & Company
Todd Schwartzman – Sidoti & Company: What is your current full year CapEx expectation?
Greg Bylsma: We would expect that to be somewhere between probably $28 million and the low 30’s.
Todd Schwartzman – Sidoti & Company: On Nemschoff is there any EPS impact for the quarter?
Greg Bylsma: Given all ins and outs there might be $0.005 which is probably a little bit better then we expected.
Todd Schwartzman – Sidoti & Company: Negative?
Greg Bylsma: Positive.
Todd Schwartzman – Sidoti & Company: Outlook for steel prices if you would for the balance of the year?
Greg Bylsma: For the balance of the calendar year?
Todd Schwartzman – Sidoti & Company: Balance of fiscal year.
Greg Bylsma: Right now in the near term we could see the charts like everybody else. They’re ticking up a little bit. As always in the steel industry this appears to be a bit more of a supply driven price increase right now which is always historically been a bit harder to hang on to for those guys. So much is going to depend on what happens in the first part of the calendar year to see if that sticks.
Todd Schwartzman – Sidoti & Company: Are there any other inputs for which you’re a little bit more optimistic of some deflation?
Brian Walker: Our view even with Greg’s comments on steel has been that we don’t see a lot more positive and we don’t see any real negative big factors out there, we’ll think they’ll sort of offset. The one, again as Greg said, we’re watching this game of the steel companies to play with capacity levels to try to drive up prices. Overall the one question you’ve got out there is what happens on the oil front. So far that stuff seems to be bouncing around within a range.
Greg Bylsma: The other thing that’s hanging out there too is that eventually by the time we get to the fourth quarter we should see some improvement obviously from the IMT closure.
Todd Schwartzman – Sidoti & Company: What can you tell us about customer visits both for Q1 and subsequent to quarters end?
Jeff Stutz: We had customer visits they were down in the double digit range year to year. We view it as a real positive sign they were relatively flat with Q4 in fact they were flat with Q4, pretty much right on. They’ve been really consistent.
Brian Walker: Not looking at it from a customer visit perspective, the one thing you are starting to hear I was traveling around in the field last week, the one thing I think is sounding a little positive is that up till now the landlords in the commercial real estate market have been sort of unwilling to commit to what are pretty depressed rental rates for long term, they’ve been more in an extension mode, I’ll give you another year to lower rate or something to that effect. You’re starting to hear from some of the folks out there, I would say this is early days, people starting to say that landlords are more willing to lock into mid-term levels at that which is causing more activity and people looking at potential moves. Some of that are moves to consolidate what are probably now fragmented buildings across metro areas and asking how do I put more stuff together. That to me is a positive sign for us that there starts to be a churn of movement. The other thing, if you look at the architectural billing index it was improving it then had a big fall off. The one thing that’s up still for them and above their 50 mark is their inquiries index. Certainly as you listen to those folks they’re starting to see more activity which we’ve really got to get focused going to visit their architects, starting to talk to landlords about new space, that’s where the stuff will start to churn for us.
Todd Schwartzman – Sidoti & Company: Are mid-term leases considered roughly three to five years?
Brian Walker: I think most of the major cities you’re hard pressed to find anything less than five years. I think now you’re starting to hear people talk. It’s expensive to move obviously, if you don’t have lease five years that you can lock in the rate people are less willing to do it, at least in this country.
Operator: Your next question comes from Chad Bolen – Raymond James
Chad Bolen – Raymond James: I think you said gross margin would be expected to be at or slightly below Q1 and I thought you said assuming flat sales or how did you characterize.
Greg Bylsma: I characterized that as given relative production from Q1 to Q2 as long as it’s in the same hunt which given what I said about orders I think that’s a fair assumption.
Chad Bolen – Raymond James: Thinking about sales from Q1 to Q2 we have the positive of the government business although based on your comments that sounds like a relatively modest positive. Then we have a full quarter of Nemschoff revenue. Is that the two major pieces as I think about progression?
Greg Bylsma: Yes, and always the hard part for us to figure out how much of that government orders increase actually gets invoiced in the quarter which is always challenging this time of year. I think historically you’d look and you’d see our inventory build by about $10 million from Q1 to Q2 on an annual basis in large part driven by that delay in invoicing for federal projects.
Brian Walker: The other thing that’s going on is a lot more of the business today is sort of project driven then what we might normally see. You’ve got to really go out and capture projects. A lot of those are not major big footprint projects. You’re seeing a lot more of what you’ve got to go get for the next quarter’s revenue, you’ve got to sort of hunt it and get it in the door within that period. That’s made the window a little tighter in terms of forecasting.
Chad Bolen – Raymond James: You guys talked about increased pricing pressure. Could you quantify for us the net pricing versus discounting impact that you saw in this quarter and any quantification or help on your thoughts going forward?
Brian Walker: Very small in the quarter, those two things sort of netted each other out to the point there wasn’t a big factor. So far it’s been okay. We know that the length of the period that you see around this lower activity levels means everybody gets hungry to compete. Certainly as we look out there one of the things we’re going to fight hard to do quite frankly is make sure that we’re holding on to our core customers and in fact some places where we have installed base. What you do see happening is you’ve got to fight harder at smaller volume levels then you used to do. It isn’t as if the large projects were always contested at very hard pricing points, that’s always been the case. What’s happening is you’re just seeing more need to fight it at more moderate sized projects. We’re just trying to make sure everybody understands the one thing we don’t believe anybody has a comparable advantage from a cost perspective and we’re not willing to give up share and/or our position in the marketplace without a fight. We don’t think its gone crazy so far but we’re going to stay in there.
Chad Bolen – Raymond James: On Nemschoff I think you guys said there was an incremental $4 million in operating expense in the quarter. Obviously not a full quarter run rate but could you characterize maybe for us how much of that is sort of one time or initial transition integration costs that might fade through the year, how much of it is normal run rate SG&A?
Greg Bylsma: While there is a little bit as we tried to quantify it a lot of those costs are coming from folks here that are helping out over there, its not really incremental costs to the business. The total spend for the nine weeks wasn’t quite $4 million and we would look at that at least for the near term as some of those costs continue as we go through the integration those would tend to probably stick for a little bit. I would think that just below the $4 million number for the nine weeks is probably a pretty good number as you look into a full 13 weeks.
Chad Bolen – Raymond James: When you initially announced the Nemschoff acquisition I think Brian talked about neutral to EPS in year one and $0.04 accretive in year two. Was the folding of the Brandrud manufacturing into Wisconsin incorporated in that or were benefits from that incremental to that initial view?
Brian Walker: No, that was always in our plan. We knew right up front that’s what we were going to do. To be frank we couldn’t talk about it because we hadn’t told the people yet. That was always part and parcel of what we thought we had to do.
Operator: Your next question comes from Mark Rupe – Longbow
Mark Rupe – Longbow: On the order pacing you had mentioned some of the comments on the project side of the business being a decent amount of that. Is the day to day business have you seen any signs of life there, any inflection or change?
Brian Walker: I don’t know that we’ve seen a change. It might be marginally better but nothing that I’d say that you’d see it as moving the needle in a big way yet. I think there are some positive signs in some of the businesses as Greg mentioned. Certainly the retail business albeit small we’ve seen that become a better run for us. Some of that I think is they purged a lot of inventory so now they’re back into normal mode. We’ve also seen the international business has from where we expected it to be that has been particularly in Asia and some of those emerging markets we’ve certainly seen those look like they’re got more strength earlier. That’s not really day to day business because in those markets we don’t have big install base so we’re still playing off of projects. My gut is what we’re going to see is this is going to really be a project led recovery at one level. You’re going to have to see people start to try to figure out how to themselves reconfigured for what their new reality is going forward and being willing to put the money up to get that work done. That’s probably how we’re going to lead our way out of it.
Mark Rupe – Longbow: On your commentary towards government I believe you said state and local might be a little bit under pressure. Can you give us a sense how big that is, the overall government business?
Greg Bylsma: Overall obviously as the government has remained strong our percentages change relative to the total. I think that the state and local piece would be historically have been in the 5% to 7% range. It’s not to say that necessarily so much that we expect that state and local hasn’t already seen a hit which it has. It’s just a question of how much more of an impact will that have on that season order pattern.
Mark Rupe – Longbow: Any comments on the regional characteristics, is there anything going on here in the US where you’re starting to see maybe Manhattan get better or certain other regions that have been under a significant amount of pressure, any sense really in some of those areas?
Brian Walker: The center of the country still remains the strongest for us. I think that’s partially the center didn’t have as big a run up so it didn’t have as big a fall of either. It’s not as if it’s going gangbusters it’s just been more regular at one level. Our team would say they’re starting to see some more activity particularly in the Northern California region that really had gone fairly quiet. The New York City area I would say is still quiet. Again as I said earlier I think what you’re starting to hear is more discussion at the property broker level that those guys are starting to see activity. Its hasn’t necessarily trickled its way back to us yet but listening to the broker start to talk that they’re seeing people begin to ask about making moves, that’s sort of the first sign. I was listening to Warren Buffett the other day talk about he was looking at truck tonnage. At one level inquiries of brokers and inquires of architects is probably a leading edge kind of move that you pay attention to.
Operator: Your next question comes from Matt McCall – BB&T Capital Markets
Matt McCall – BB&T Capital Markets: I think there was some clarification in an earlier question about the gross margin line, if you net out I think you referenced some temporary costs at Nemschoff you’re going to add in a full quarter, however, of Nemschoff operating expenses but then you referenced some potential incentive compensation coming back. I didn’t quite grasp the directional guidance you were providing there, its sounds like obviously up a little bit with Nemschoff but what was the net point you were making?
Greg Bylsma: If you go back to Q4 we had the same plan in place in the fourth quarter and that level approaching $1.6 million of this bonus expense, if you will, in the fourth quarter. We would imagine something in that neighborhood, given obviously all the other factors that we outlined.
Matt McCall – BB&T Capital Markets: The big changes would be you’re going to take away a little bit of temporary costs from Nemschoff, add back about $1.6 in incentive comp and then add in the remainder of the quarter expenses from Nemschoff, those are the big moving parts?
Greg Bylsma: Those are the moving parts.
Matt McCall – BB&T Capital Markets: You referenced an inventory build normally Q1 to Q2. You had a bit of an inventory build Q4 to Q1 it looked like backlog was down a little bit less than orders. Is that just timing of some orders and if it is does that mean you’re going to see less of a build Q1 to Q2 this year?
Greg Bylsma: In the build is obviously inventory from Nemschoff which was about half of the build. Then we did get a couple million dollars tied up just due to GAAP accounting rules when we could recognize revenue that tied up right at quarter end which was about $2 million. We tend to see a little bit of a government build always begin in Q1 which would be the balance of that build.
Brian Walker: None of it is really billed in manufacturing inventory. What we’re really talking about is we acquired inventory with Nemschoff. It’s not as if they built inventory it’s just that’s their inventory level. You’ve got that going on and the other thing you’ve got is this thing we would call jobs in progress meaning we’ve shipped the product to the customer, its maybe not completely finished in terms of installation. This particularly happens with the government so then it gets hung up and we’re not able to recognize the revenue until the customer signs off on the installation.
Matt McCall – BB&T Capital Markets: You referenced the government business; I don’t think you put a number on state and local versus federal. What about government as percent of total what’s the run rate and what’s the outlook?
Brian Walker: We’ve never disclosed exactly what the government is specifically. What I would say to you is that government is, especially the federal government is one of the stronger areas out there right now. Of course they’re one of the few people that get to print money which is kind of a helpful thing. Certainly they’re investing a lot in building capabilities. That’s one area that if there’s an area that has remained strong that’s certainly one of them. It’s not that state and local has gone away it’s taking its own shot to some of the state governments in particular have problems with budgets and they can’t print money. You’ve seen a little bit of pressure on that side.
Jeff Stutz: To reiterate a point that Greg had made too. When you move Q1 to Q2 in our order rate it again is not uncommon if you look back at history to see the bump up in government order levels move consolidated orders in a range of 3% to 6%.
Matt McCall – BB&T Capital Markets: We haven’t touched on your temporary costs that you’ve taken out. I think maybe part of that incentive compensation is a part of this conversation but can you talk about your expectations for some of those temporary costs to come back. I know you’re taking one out of every two Fridays off it seems like that. Just give us an update about when we should see some of those return and is that $1.6 million is part of that.
Brian Walker: Essentially the $1.6 million its an offset to the savings because the way it worked, if you remember, we set a bogie for a level of performance and said to folks if you can help us beat that bogie we’ll share some of the upside with you. We did it as a way to feather back help our people out, quite frankly get them motivated to do what they’ve done a great job of which is helping us find other areas to save besides their own labor costs. The thing that happened this quarter, the reason there was no payout is we had the hits for the bond retirement and a couple of those things. That just got us below the bogie that we had set. Next quarter we won’t have that cost, therefore our operating income on an operating basis will be a little bit higher and we’ll pay some of that bonus out as Greg said earlier. Right now what we have told our folks is we don’t see changing what we’re doing from an every other Friday off any earlier than sometime in the third quarter. All that will depend on what we’re seeing in terms of activity levels. If we got to the point that we were consistently paying that bonus of course we would then go back to working full time weeks. Right now I would say we don’t have a prediction of it changing. We don’t see enough of an upturn that we can tell ourselves we can afford to bring all of that back. It has worked relatively well certainly put a lot of pressure on our folks, we appreciate the fact that they’ve hung in there but so far that’s enabled us to retain the talent that we needed for the other side, get the work done that we needed and sort of be able to buffer the results through this.
Matt McCall – BB&T Capital Markets: The $1.6 million it would be essentially replaced by the return of those costs and not a chance that is in the meantime?
Brian Walker: If you look at the number that we gave was around $30 million annually so $7 million a quarter. Rather than being $7 million next quarter if it was $1.5 million we would have had $5.5 million net, you follow what I mean? We had the same thing in the fourth quarter. We’ve said to the folks they could earn up to all of it back and other then the piece that was related to the 401(k). What it really is it helps them with the daily wage piece.
Matt McCall – BB&T Capital Markets: Convia, I haven’t heard you mention that word in the call. I just wanted to maybe get any incremental thoughts you’ve had there post the partnership.
Brian Walker: I’ll be straight with you and tell you we didn’t get to where I’d hoped we would get in terms of orders in this first quarter. We had a couple of issue with getting the new boards. We had to create a new board to embed into the Legrand product. We did get them out the second week of the second quarter but we didn’t get them out in the quarter which we’d hoped. Its wouldn’t have moved the needed a lot in terms of overall revenue but it’s an important sign for us in terms of what’s going on. Where we have gotten to is we have now trained virtually all of the Legrand sales force so now I think we’ve got a couple hundred folks out there every day of the week selling the Convia system as part of the Legrand system, that’s a big deal. We’ve got great customer interest this quarter based on the opening of the US Green Building Council Headquarter which is probably the most granular and sophisticated application of Convia out there. I would tell you that that’s created a new set of buzz in that we also are going to be in the new marketing office for the redo and the re-launch of the Empire State Building with Convia which is somewhat directly connected to the work that we did at the US Green Building Council. The other thing that we began to launch and market this quarter is what we call the Herman Miller Energy Manager which is essentially the Convia technology product tied into workstations. That certainly we’ve seen positive impact with customers who aren’t ready for the full blown Convia implementation across the building but can get a lot of the benefits around energy management, occupancy sensing and the like into the workstation. We haven’t gotten to where we wanted to in terms of revenue to be frank. On the other hand our team and the Legrand team, the Legrand team reports very good activity levels and prospects. The senior management of Legrand says their sales force is very fired up about the partnership and I think we’ll know a lot more when we get three more months out there, now that we’ve got everybody trained and up and running.
Operator: That concludes our question and answer session. I’d like to turn the conference back to Mr. Walker for any closing remarks.
Brian Walker: In closing we’re seeing a good start to the year despite the challenges we continue to face from an economy hobbled by recession. We’ve made significant improvements in the structure and composition of our business. In doing so we have maintained solid profitability while at the same time making investments in support of our long term goals. It’s a balance that is served Herman Miller well throughout its history and one that continues to work for us today. Thanks for joining us this morning and we look forward to talking to you again next quarter.
Operator: That does conclude today’s conference. We thank you for your participation.